Operator: Good morning, ladies and gentlemen, and welcome to the Metro Inc. 2024 Third Quarter Results Conference Call. At this time, all participant lines are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] Also note that the call is being recorded on Wednesday, August 14, 2024. And I would like to turn the conference over to Sharon Kadoche, Director, Investor Relations and Treasury. Please go ahead.
Sharon Kadoche: Thank you, Sylvie. Good morning, everyone, and thank you for joining us today. Our comments will focus on the financial results of our third quarter, which ended on July 6. With me today is Mr. Eric La Flèche, President and CEO; François Thibault, Executive VP & CFO; Marc Giroux, COO, Food; and Jean-Michel Coutu, President, of The Pharmacy Division. During the call, we will present our third quarter results and comment on its highlights. We will then be happy to take your questions. Before we begin, I would like to remind you that we are using today's discussion different statements that could be construed as forward-looking information. In general any statement, which does not constitute a historical fact may be deemed a forward-looking statement. Words or expressions such as expect, intend, are confident that will and other similar words or expressions are generally indicative of forward-looking statements. The forward-looking statements are based upon certain assumptions regarding the Canadian food and pharmaceutical industries, the general economy, our annual budget and our 2024-2025 action plan. These forward-looking statements do not provide any guarantees as to the future performance of the company and are subject to potential risks known and unknown, as well as uncertainties that could cause the outcome to differ materially. Risk factors that could cause actual results or events to differ materially from our expectations as expressed in, or implied by our forward-looking statements are described under the risk management section in our 2023 annual report. We believe these forward-looking statements to be reasonable and pertinent at this time and represent our expectations. The company does not intend to update any forward-looking statements except as required by applicable law. I will now turn the call over to François.
François Thibault: Thank you, Sharon, and good morning, everyone. For the quarter, total sales reached $6.65 billion, an increase of 3.5% versus the same period last year. Same-store sales were up 2.4% in food and up 5.2% in pharmacy. Our gross margins stood at 19.6% of sales, essentially flat when compared to our third quarter last year. Operating expenses amounted to $681.7 million, up 4.8% versus last year and as a percentage of sales, they stood at 10.2% versus 10.1% in the same quarter last year. The higher ratio is mainly due to the startup of our new automated distribution center for fresh and frozen product in Dublin, and we also continue to have higher third-party e-com fees than last year. Last year's operating expenses did include $5.1 million of launch costs related to the Moi Loyalty program. EBITDA for the quarter totaled $620.2 million, representing 9.3% of sales, and is up 1.6% year-over-year when we remove the gain and loss of sales of assets. Total depreciation and amortization expense for the quarter was $134 million, up $14.5 million versus last year, and a significant portion of the increase is due to our new Terrebonne DC. We also started depreciating the Fresh Phase II investment in Toronto in the last month of the quarter. Net financial costs for the third quarter were $46.6 million compared to $37.1 million last year, and the increase is due to a higher level of debt and interest rates, as well as lower capitalized interest related to our distribution center automation projects. Adjusted net earnings were up $305 million compared to $314.8 million last year, a 3.1% decrease, and our adjusted net earnings per share amounted to $1.35 flat year-over-year. On the retail side, in the first 40 weeks of fiscal '24, we opened six Super C stores, including two conversions. We carried out major expansions and renovations of 7 stores and relocated another one for a net increase of 237,000 square feet or 1.1% of our food retail network. Under our normal course issuer bid program, we may repurchase up to 7 million shares between November 25, 2023 and November 24, 2024. As of August 2 of this year, we have repurchased 6,045,000 shares for a total consideration of $430 million, representing an average share price of $71.14. In closing, our third quarter results are tracking well to the guidance we provided in November for fiscal '24. That's it for me. I'll now turn it over to Eric.
Eric La Flèche: Thank you, François, and good morning, everyone. We recorded solid comparable sales growth in the third quarter, on top of a very strong quarter last year, reflecting effective merchandising and good execution in our food and pharmacy banners. Our teams did an excellent job to offer good value to our customers across all banners in a challenging environment. This resulted in overall market share gains in dollars and tonnage. For the quarter, food same-store sales were up 2.4% for a 2-year stack of 12%. Our discount banners continued to fuel this growth on top of high comps and discount last year. As François mentioned, so far in fiscal '24, we opened six Super C stores. Three more stores will open in the fourth quarter, a Food Basics in Ottawa, Petawawa, that just opened, plus a Super C in Montreal and a Metro store in Ottawa. Our internal food basket inflation continued to decelerate and came in slightly lower than the reported food CPI of 1.1% for the period. Similar to previous quarters, transaction count was up in all banners with higher foot traffic growth on the discount side, and the average basket came down slightly. Promotional penetration was up compared to last year as cost of living pressures are still present and consumers search for value. Private label sales continue to outpace national brands. Online sales grew by 35% compared to our third quarter last year, fueled by third-party partnerships for same-day delivery and the ongoing expansion of our click-and-collect service to our discount banners. The service is now deployed at Super C and in progress at Food Basics. On the pharmacy side, we delivered a strong performance this quarter with comp sales of 5.2% for a 2-year stack of 11.4%. Commercial sales were up 3% driven by a strong cough and cold season and growth in core categories such as OTC, HABA, and Cosmetics. Prescription sales were up 6.3%, driven by organic growth, specialty medications, and professional services. We are well-positioned to deliver on the expanded role of pharmacists with our dedicated pharmacist owners and our leading footprint across Quebec. In May, we celebrated a successful first year for our Moi Rewards Program. In addition to more than doubling the number of active members from 1.2 million to 2.5 million, over $65 million in points were redeemed by members on their everyday essentials. Members spend on average 50% more than non-members and we are very pleased with the level of cross-shopping and customer engagement in our different food and pharmacy banners. We look forward to the launch of Moi rewards in Ontario later this fall. Our new automated fresh and frozen facility in Terrebonne is now fully operational, with productivity levels ramping up in line with our plans. During the quarter, we transferred most of the dairy volume from our Laval DC to Terrebonne. As planned, on June 10, we launched the final phase of our Toronto automated fresh facility, starting with the transfer of the produce volume from the conventional section of Phase I to the new automated section in Phase II. Other fresh categories like meat, deli and dairy will transfer gradually from our old facility every week until the end of September. With both phases now in operation, we expect to see a step change in overall productivity once activities reach the steady state. The benefits will be gradual and will come from efficiency gains and lower transportation costs. To conclude, as we approach the end of this transition year in our distribution centers, and while food inflation continues to decline, we know the environment remains difficult for many of our customers, and our teams are focused on delivering the best value possible to them and we remain confident in our ability to create long-term value for our shareholders. Thank you and we'll be happy to take your questions.
Operator: [Operator Instructions] And your first question will be from Irene Nattel at RBC Capital Markets. Please go ahead.
Irene Nattel: Thanks and good morning, everyone. Another great quarter from you guys. Thinking about consumer behavior, from your commentary, Eric, it sounds as though what you're seeing in stores is really a continuation or are you seeing any kinds of shifts at all as we continue to hear a narrative around consumers really tightening, tightening, tightening?
Eric La Flèche: Very similar consumer behavior across our networks. So as we've been reporting every quarter for over a year, almost 2 years I would say, the search for value continues. As I said, people are searching for deals, promotional penetration is really high, and private label sales are doing really well. So it's really the same environment as we've been describing for several quarters.
Irene Nattel: Understood. Thank you. And can you talk a little bit about why you mentioned the increased uptake in terms of cross-shopping? Can you talk about what you're seeing more broadly, both at food and pharma, and how maybe you're using some of -- some targeted promotions to continue to drive traffic in basket?
Eric La Flèche: I'll let Marc answer or give a shot to that.
Marc Giroux: Thanks Irene for the question. So we've launched a Moi a year ago as Eric was mentioning. We're able now to use the data and analyze customer behavior across our food banners and across food and pharma. And the point that Eric was making is that we're happy to see consumer engaging more and more in the Moi program, but also engaging in our banners as they cross-shop between our banners. And as we continue to use the data, the teams have started and will continue and accelerate offers to consumers to promote that cross-shopping, promote basket and transaction across our store network in Quebec. So we're satisfied about the launch, we're satisfied about the increased performance of Moi and the team will continue to be focused on offering value through Moi through the program across all of our matters.
Irene Nattel: Understood. Thank you.
Operator: Thank you. Next question will be from Tamy Chen at BMO Capital Markets. Please go ahead.
Tamy Chen: Hi, good morning. Thanks for the question. I wanted to focus more on the DCs here. Just first, stepping back, can you talk about the Phase I in Toronto? I'm just curious about that since it's launched, how that's unfolded in terms of the benefits to your results. And specifically, I think for this quarter, just given the strong same-store sales versus the year ago, has any of that been driven by the gains from the Toronto Phase I, perhaps also some initial gains out of the Terrebonne DC?
Eric La Flèche: I would say Toronto Phase I was January of 23. It's been a while, so it's up and running. It's a combo DC, right? Phase I was manual and automated. The freezer in Toronto is fully automated, so those two centers have been in operation for a while, have been ramping up well, and I think supporting our store network really well. Together with that, we have automated replenishment in our stores, so the combination of our supply chain modernization efforts, clearly in Toronto that has been up for longer, has contributed to our performance. It's not the main driver, but it's one of the contributing factors. Terrebonne is still very early days. We're happy with the performance so far, but it's clearly in the ramp-up period, and it would be a stretch to say that Terrebonne has contributed to higher same-store sales. So I hope that answers your question.
Tamy Chen: Yes, that does. Okay. And my follow-up is, these DCs, the automated ones in particular, can you remind us how to think about the benefits, just specific line items that they help you in your P&L? And if you could talk in any way about the magnitude, the cadence, I think there's just a lot of questions as to how we as investors should think about, especially now with these, Terrebonne and Toronto Phase II gradually coming to their finish line, how we should think about the impact that they could have over time to your earnings going forward? Thank you.
Eric La Flèche: François?
François Thibault: Well, listen, these DCs are cost centers. I think we made these big investments to make sure that we remain, first of all, address capacity issues and fresh and frozen. So the [indiscernible] was not an option. We had to invest and I think we picked the best option. The benefits will accrue over a long period of time, but as Eric said, the Phase I in Toronto has been performing as planned. So the benefits will be both on the OpEx and on the gross margin as you improve your stock position, your store servicing. We also made investments in automatic replenishment. So you should expect the objective is to have benefits accruing across several lines of the P&L, but they will be over time. The other benefit, now that these are fixed-cost centers, is that as sales increase, as volume increases over time, we also expect to have more benefits just because we are -- we will be leveraging a fixed cost operation for all practical purposes. So that's how we view the benefit. But these are now cost centers integrated into overall OpEx and we will manage accordingly. That's why we said that we expect to be back to our usual profit growth targets starting in fiscal '25.
Eric La Flèche: So just to compliment on that, clearly with automation we will save labor. We are not cutting jobs necessarily, we are adding capacity, we are doing more volume, more throughput through our DCs with basically the same labor force. So our cost per case from a labor point of view is coming down, will come down. That’s offset by a higher amortization, higher investment. So these investments will meet, we are confident will meet our return targets and so far we're pleased with that. So, these are large investments, they are over the long-term, they will take time to give us the full benefit, but we're confident we're on -- we are well on our way to getting there and so far we're meeting our targets and our plans.
Tamy Chen: Great, thank you.
Operator: Thank you. Next question will be from Chris Li at Desjardins. Please go ahead.
Chris Li: Good morning, everyone. Just a few questions for me. I guess starting with the strength in your food comp this quarter, are you able to share whether it's well-balanced between both Ontario and in Quebec? Well, as we said in the opening remarks, it's driven mostly by discount. That said, we're pleased with our conventional store performance on a relative basis. Conventional is under pressure in both markets, no question about that, but overall versus other conventionals, we're pleased with our performance. And overall, when we combine discount and conventional, as I said, we're seeing some market share and tonnage gains. So, pleased with our performance, good execution by our teams and good merchandising.
Chris Li: Okay, that's helpful. Thanks, Eric. And maybe just a related one, I don't know if it's easy to answer at all, but just obviously there was a boycott by one of your competitors during the quarter. Did you notice any notable benefits from that event?
Eric La Flèche: No, it's hard to pinpoint to that single event.
Chris Li: Okay, that's fine. Okay. And then just a follow-up on the question about the cross-shop. I remember last year at your Investor Day, you kind of disclosed before Moi was launched, your cross-shop was around 60%. That was about a year ago. I was wondering if you can share what is that percentage now?
Eric La Flèche: Chris, I don't remember sharing that information, but what I can tell you is that post-launch of Moi, we're very satisfied with the sales penetration on the card. We're above target in our food banners, and in pharma, we are also above air miles penetration pre-launch. And as we continue to track cross-shop across our banner, our goal is to really maximize the overall wallet share of our customer. And that's where the focus of the team is. We shared with you that we invested in technology to allow us to personalize better, personalize at a greater scale and that's what we're executing on right now.
Chris Li: Okay, thanks for that. And maybe just last one before I get back to the queue. Francois, I guess you sort of reiterated that the Phase II of your DC modernization will be done by end of September, end of fiscal year this year. I'm just wondering, as we look on to next year, are there any more lingering costs related to this initiative that we should be thinking about as you gradually ramp up the automation? Any more costs that we should be aware of as we kind of think about the outlook for next year? Thank you.
François Thibault: Yes, obviously as we just launched Fresh Phase II, there will be similar duplication of cost, not the same magnitude, but similar cost in terms of extra labor as you're running two sites at the same time, transferring volumes. So, you've got transport, you've got shunting, you've got utilities. So, you'll see a similar pattern, not the same magnitude, but similar pattern to what we had at Terrebonne. That should start to ease as we enter fiscal '25. Now it'll take some time to take care of some of the old sites that we have, but in terms of the impact versus this year, that will be quite minimal. So don’t expect -- we don’t expect any other lingering extra cost. We will be focused on ramping up and generating the efficiencies of these two sites in Quebec and Ontario.
Chris Li: Great. Thanks very much and all the best.
Eric La Flèche: Thank you, Chris.
Operator: The next question will be from Michael Van Aelst at TD Cowen. Please go ahead.
Michael Van Aelst: Hi, good morning and thank you. I just wanted to follow-up on the DCs. When you look at the scale and complexity of Toronto Phase II transition, would you say it's similar or maybe a little bit easier than Terrebonne was in Q2?
Eric La Flèche: Pretty similar. Again, every time we do the first one is always harder than the second one. So, fresh Phase II Toronto will benefit from Terrebonne and Terrebonne benefited from Toronto Phase I and Toronto Freezer. So, we live and learn and we improve every time we do these projects. So, as I said, we're gradually transferring deli, meat and dairy in Toronto from the old cold chain to this new Fresh 2. And 50,000 or 60,000 or 70,000 cases a week are transferring, so by the end of September it will be done. And so far it is going well. Service to our stores is maintaining at good levels. So it's something we have to get through. But the teams have been really doing some heavy lifting all year, and everybody's looking forward to getting this behind us by the end of September.
Michael Van Aelst: Yes, I'm sure. So I'm assuming based on that, that we shouldn't really expect the disruption to be any significantly different, let's call it, that may be a little bit less than what we saw in Q2.
Eric La Flèche: Yes, that's fair. That's fair, yes.
Michael Van Aelst: Okay. And then on the gross profit side, so it was pretty stable year-over-year. I'm sure there's a decent amount of pluses and minuses that go into that, but can you talk a little bit about some of those main sources of gross margin pressure and some of the initiatives you're undertaking to offset them?
François Thibault: Well, the market is competitive. The promotional environment is strong, so that has an impact. We get cost increases still from vendors on the CPG side. It's a delicate balance and it's an effort to come up with the right gross margin and generate the sales that we're looking for. Like I said, it's puts and takes. Shrink is an issue, theft is an issue, we manage that as best we can. I'm sure we can improve some more. It's all of the above. So people have -- we have targets to meet and we're trying to do the best mix we can between our sales and our margins. And we're pleased with the results that we've been delivering this year.
Michael Van Aelst: That mean clearly to hold it -- just hold it flat in an environment where your promo penetration is hitting highs and you’re shifting -- there's a shift to discounts and shrink is still an issue. Is there anything you can kind of point to that you're doing really well to that's offsetting it, that's a primary offset?
François Thibault: I can add -- I think it's about delivering value to our customers every week. I think that's what we've been able to do. That's what our teams have been able to do on a weekly basis through a commercial program. We're well-positioned with our store network and discount to capture the continued significant growth in discount. There's still a gap between conventional and discount, and we're well-positioned to capture that. And in conventional, I think our teams have been able to manage the pressure by -- with good promotional program and meeting customer expectation on a week-to-week basis. So we are happy how we -- how those banners are performing within their segment even though overall conventional is under pressure. Hopefully, that gives you a bit of color.
Michael Van Aelst: Yes. That is great. Thanks very much.
Operator: Thank you. The next question will be from Mark Petrie at CIBC. Please go ahead.
Mark Petrie: Yes, thanks. Good morning. I wanted to ask about the Quebec market specifically. Obviously, grocery is always highly competitive with weekly flyers, active loyalty offers, but have you noticed any shifts in the competitive balance in Quebec? And I know discount has taken share maybe a bit more in Quebec than other regions, just given the square footage growth over the last year or two, but any shift in the relative balance of between discount and conventional in Quebec?
Eric La Flèche: Well, the discount market in Quebec is growing, as you point out, given the square footage additions on the discount side, massive conversions by one player. We have added square footage with new ones and a few conversions ourselves. So the discount total market is growing in Quebec faster than it is in Ontario because of that square footage and number of doors. So like Marc said, it's a reality. The discount conversions are going to end pretty soon and then we'll see where the market settles. We like our position with a good mix of both conventional and discount. Clearly, there's been a little more pressure on conventional these last couple of years with this shift, but we anticipate that at the end of the conversion wave, our Metro banner will be on a good footing to grow again. And we're confident that with our Super C banner, we will capture the growth on the discount side as we've been doing. And with our pharmacy, we deliver value adjunct [indiscernible] and every day with strong programs. So we have a good diversified mix and we're pleased with our solid position in the Quebec market, both food and pharma.
Mark Petrie: Yes, okay, I appreciate -- I appreciate the answer. Thank you, Eric. Maybe just to follow-up on that, have you seen any different behavior in the full service or conventional channel in Quebec versus other regions of the country, or I guess specifically for you, Ontario?
Eric La Flèche: You mean within conventional, how are the customers behaving compared to Ontario?
Mark Petrie: Yes.
Eric La Flèche: I would say the behavior is very similar. Consumers are looking for value, they're participating to promotion more, they're trading down, especially in meat, I would say that are more expensive category. But I would say that the behavior within conventional is similar in both Quebec and Ontario.
Mark Petrie: Yes, okay. And probably one for you, Francois. When you look at the business case, coming back to the DC topic, when you look at the business case for the Toronto phases and Terrebonne, is there any significant difference in terms of the expected return from each of those initiatives or the materiality of the impact to the P&L?
François Thibault: No. Obviously, since we started building these business cases back in 2017, 2018, obviously, the market has changed. We’ve been -- we went through some events and costs have gone up, but on a relative basis, the return of these projects are as good as when you compare them to the other alternatives that we have studied. So, we are still even though we -- the inputs may have changed in terms of cost and so forth, the returns are as they were expected.
Mark Petrie: Let me just clarify my question. What I meant was, those shifts, as the market has shifted and the cost dynamics have shifted over the last number of years, has that affected one of the DC projects more or less than the others? Or have they all been affected similarly?
François Thibault: The same. Very similar.
Mark Petrie: Yes. Okay. Fair enough. Thanks for all the comments, guys. All the best.
François Thibault: Thanks, Mark.
Operator: Next question will be from Vishal Shreedhar at National Bank. Please go ahead.
Vishal Shreedhar: Hi. Thanks for taking my questions. Your food same-source sales gap versus peers is noteworthy. And I'm just wondering if there's anything transient in this quarter and as we look to the next quarter, [technical difficulty] or is there any considerations we should think of?
Eric La Flèche: It is difficult to predict same-store sales going forward with the competitive environment. But, as you said, we are satisfied with our same-store sales in Q3. I think our program are resonating well, and for us, an indication of performance is tonnage, and we're happy about the tonnage that we're generating. It means that the customers are appreciating our programs and are coming through our doors, and that's what the teams are going to try to continue to do. We talked about Moi in Quebec. The team are now using Moi more and more and more to understand customer behavior and to try to influence that behavior across our different banners. And we're going to be launching next fall in Ontario. The first focus is going to be the launch and customer membership, growing members, and then it'll move to engagement. But overall, we're satisfied of the quarter in the overall competitive environment, and we'll continue to -- we will try to continue to go in that direction, but difficult to predict as I said.
Vishal Shreedhar: Thank you for that. Management commented on shrink and the challenge with controlling that. Just wondering how that relates to management's initiatives to roll out self-checkout and if that's going to continue at the same pace, and does it deem self-checkout to be problematic for controlling shrink?
Marc Giroux: So, shrink is the result of a balanced promotional program and a balanced program at store that can be executed in tonnage, but also theft as Eric has mentioned. So, as consumers' shift behavior and promotional ratio increase, we need to adapt our store operations. So, in the first quarter, we saw a little bit of elevated strength in meat, and the team have been able to manage that afterwards. And so that was my first comment. Second comment is on theft. And as Eric said, during these challenging time for consumers, theft has increased in our stores, and we have multiple initiatives to manage theft from security, from camera, and at SCO [ph] in particular. We're piloting technology right now to better track consumer behavior at SCO and hopefully those pilots will be successful and then deployed and will allow us to better manage [indiscernible].
Vishal Shreedhar: Okay. So self-checkout is proceeding with the rollout of this plan?
Marc Giroux: Yes, we're pretty much deployed already in most of our stores. The SCO deployment has happened in the last few years. The continued deployments, I would say, are adjustments in store. There are not major deployments of SCO right now. It's more about how do we manage our self-checkout area more efficiently, first to deliver customer satisfaction and second to manage theft.
Vishal Shreedhar: Okay. And my last question is …
Eric La Flèche: If your question is -- Vishal, if your question is are we removing self-checkouts from certain stores? We haven't gone to that measure yet. But it's something we manage carefully, store by store, market by market, but we're not there. We want to provide good service and the self-checkout is part of that service with the regular checkouts for customers to get out of our stores as fast as they want.
Vishal Shreedhar: Thank you for that clarification. And Eric, just a conceptual question for you on conventional versus discount. And obviously the inflation that consumers have seen has placed pressure on conventional offer. But if you look at some of these newer discount stores being rolled out, some of them have conventional-like offerings. And I'm wondering if that's causing you to reflect on what conventional is offering to the consumer, if there needs to be an adjustment made to the conventional format, either offering more services, more exciting products, is that something that you deem needs change to get the consumer excited again, or is it merely an issue of anniversarying this high inflation?
Eric La Flèche: Well, it's the mission of all of our stores to continuously improve their offer and attract customers. Clearly, as discount stores offer more, are fully renovated, and some brand new stores, they're attractive stores, so that puts pressure on the conventional stores. They have to provide something different. They have more assortment, more services. The experience for the customer has to be elevated and I think that's what the Metro Banner is trying to do. So again, market by market, store by store, and we are investing in our conventional stores, we're investing in our programs, we're investing in our loyalty programs, so there's more for the consumer in our conventional stores and it's a differentiated offer versus discount and that's the way it needs to be. So, at a conceptual level, it has to be executed that way. And overall, I think we're having some success.
Vishal Shreedhar: Thank you.
Operator: Thanks. Next question will be from Michael Van Aelst at TD Cowen. Please go ahead.
Michael Van Aelst: Thank you. Just a clarification. When we were talking about the performance of discount versus conventional in Quebec, I'd like to try and separate the conversions from the actual kind of same-store performance. So, if you're able to look in Quebec markets where there are no conversions happening, how meaningful is the gap in performance between conventional and discount?
Marc Giroux: Similar -- I would say similar to Ontario. So -- we're seeing it as we're cycling conversions in the market, competitive conversions or own conversions. We continue to be happy with the performance of our discount stores and conventional stores. That's why Eric earlier said that we're going to be cycling the turbulence or the square footage growth in the Quebec market, and we're confident that both our discount and conventional offer are competing well. But if you exclude the square footage growth and discount in Quebec, I'd say that the competitive dynamic and the growth of discount would be similar.
Eric La Flèche: Just to complement on that, Marc. So in markets where there are no conversions, so if status quo, speaking for ourselves, our discount stores are growing faster than our conventional stores. So when you look at the total market, the number -- the gap between conventional discounts, the total market gap is quite significant because of all the square footage. In markets where there's no difference in square footage, there's a gap. It's a much smaller gap, but there's a gap. And that's the reality of the market today. That's why we like to have both banners and we go to market with both banners and pretty much in every, speaking for Quebec and more and more in Ontario, we will go with conventional and discount in all markets.
Michael Van Aelst: Okay. So that's helpful. And just to clarify a little bit more, so where you aren't seeing conversions, is conventional actually growing? Or is it just the discount [indiscernible] performing, but is conventional actually growing?
Eric La Flèche: Yes, in certain markets -- yes -- in certain markets there's some growth. It's lower than discount, but there's some growth. In other markets, it really depends market by market. So I'm not going to call out a number for you, but yes, we do have Metro stores that are growing in several areas across Quebec and Ontario.
Michael Van Aelst: Yes. All right. Thanks very much. Congratulations.
Eric La Flèche: Thank you.
Operator: Thank you. [Operator Instructions] And your next question will be from Chris Li at Desjardins. Please go ahead.
Chris Li: Thank you. Just maybe a few quick follow-ups. Sorry if I missed this already, but was the gross margin largely stable overall both in food and pharmacy?
François Thibault: Yes, overall stable.
Chris Li: Stable, okay. And Francois, just -- you've always said that a key risk to earnings is sort of the lag between slowing food inflation and the rise in exchange expenses from sort of labor costs. You guys seem to be managing this dynamic very well so far. So my question is, do you expect this to continue? And are there any new meaningful cost reduction initiatives that sort of give you this confidence?
François Thibault: Well, you're right. I've been calling this lag in reflecting inflation in OpEx for a while now and it's still present. Obviously, as inflation declines over time, that pressure will diminish, but we still are seeing some pressures and we always have several initiatives on the go to reduce or contain OpEx. I think the trend -- if you look at the trend this year, it's trending in the right direction and as expected. In Q1, our OpEx was up 10.5% year-over-year, in Q2 6.1%, and in Q3 4.8%. Probably a little bit over 5% when you account for the model launch cost and the e-com fees, but it's trending down year-over-year. And as a percentage of sales, we went from a 40 bps higher SG&A versus last year in Q1, 40 bps in Q2, and now 10 bps, closer to 20 bps when you account for the launch cost. So it's trending in the right direction. And as I said, as inflation continues to decline, we expect that pressure will diminish, but you still need to be very focused on maintaining those cost pressures. That will continue -- that will still continue in the short-term as I expect it to be.
Chris Li: Okay, that's helpful. And maybe just a couple of last ones, just on CapEx. Are you still on track to, I think, about $650 million target for this year? Are you still on track to have that spend for this year?
François Thibault: Yes, it'll be close to that. It'll be around that level.
Chris Li: Would it be similar for next year?
François Thibault: I’m not going to call it [indiscernible], we're going to budget -- finalizing our budget, I'll be able to give more color on the Q4. I’ve said -- what I've said before is a normal run rate without any other special projects would be 550, 600, that's a normal run rate CapEx for us, but it's never a run rate year for us. So I'll give you more color in Q4 once we've completed our budgets.
Chris Li: Okay, and the last one for me. Your balance sheet is obviously in good shape with leverage around the low 2s. Is there an opportunity for you to perhaps upsize your share buyback next year, especially as your supply chain modernization is now complete and your free cash flow conversion at [indiscernible] remains very strong?
François Thibault: Well, it's a good question. There's no change in our capital allocation, there's no change in our leverage targets. So, yes, leverage has been coming down. As you say, we've been generating good cash from operations. Despite the high-level of CapEx that we've been maintaining a solid balance sheet. So there's -- we said that we don’t -- we want to be at no more than 3x adjusted debt to EBITDA. That remains the limit and there's room -- there's still room to grow that leverage from where it is today, especially now that those big projects are getting behind us, less risk. So it's something that we will be looking at as we enter fiscal ' 25.
Chris Li: Very helpful. Thank you.
François Thibault: Thanks, Chris.
Operator: Thank you. And at this time, I would like to turn the call back over to Mr. Kadoche. Please go ahead.
Sharon Kadoche: Thank you all for your interest in Metro and please mark your calendars for our fourth quarter results on November 20. Thank you.
Operator: Thank you. Ladies and gentlemen, this does indeed conclude the conference call for today. Once again, thank you for attending. At this time, we ask that you please disconnect your lines. Have a good day.